Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to MamaMancini's Fourth Quarter Fiscal 2021 Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. [Operator Instructions] This conference call is being recorded today, April 20, 2021, and the earnings press release accompanying this conference call was issued at the close of market today. On our call today is MamaMancini's Chairman and CEO, Carl Wolf; President and COO, Matthew Brown; CFO, Larry Morgenstein; and Greg Falesnik, CEO of MZ North America, MamaMancini's Investor Relations firm. I would now like to turn the conference over to Greg to read a disclaimer about forward-looking statements. Please go ahead.
Greg Falesnik: Thank you, operator. Before we get started, I'll read a disclaimer about forward-looking statements. This conference call may contain in addition to historical information, forward-looking statements within the meaning of the federal securities laws regarding MamaMancini's. Forward-looking statements include, but are not limited to, statements that express the company's intentions, beliefs, expectations, strategies, predictions and any other statements relating to its future earnings, activities, events or conditions. These statements are based on current expectations, estimates and projections about the company's business based in part on assumptions made by management. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may vary and are likely to differ materially from what is expressed or forecasted in forward-looking statements, due to numerous factors discussed from time to time in this report and another documents which the company files with the U.S. Securities and Exchange Commission. In addition, such statements could be affected by risks and uncertainties related to factors beyond the company's control. Matters that cause actual results to differ materially from those forward-looking statements include, among other factors, the loss of key management personnel, availability of capital and any major litigation regarding the company. In addition, this conference call contains time-sensitive information that reflects management's best analysis only as of the date of this time -- and time of this conference call. The company does not undertake any obligation to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after the date of this conference call. At this time, I'd like to turn the call over to Carl Wolf, the company's Chairman and Chief Executive Officer. Carl, the floor is yours.
Carl Wolf: Thank you, Greg, and thank you, everyone, for joining us today. I'd like to welcome you to our fourth quarter and fiscal 2021 financial results conference call. Our fiscal 2021 was a record year of growth despite intense hardships at the national level, driven by a shift in consumer purchasing power from restaurants to grocery stores in light of the COVID-19 pandemic. We continue to supply grocers throughout the pandemic with minimal impact on operations, launching effective new advertising campaigns and securing exciting new product placements on thousands of retailer shelves nationwide, expanding both the breadth and depth of our reach as a brand. Sales were positive in the club store network and in packaged products, while sales in the fresh delis and hot bars, while delayed due to COVID are beginning to recover nicely, and we expect to be back to near-normal levels by late summer. Our activity in food service, direct-to-consumer markets and in exportation to Canada were temporarily halted due to COVID. We are now beginning this activity again, and expect to see exciting progress in the near term. COVID-19 was a challenge for the company. But we were able to overcome it and efficiently run our operations without pause. Fortunately, we were able to install safety measures significantly before our peers, which we believe to help mitigate the effects of the pandemic. With business slowly returning back to normal, we announced new customer authorizations, both in terms of new locations and expansion of existing placements at several major nationwide retailers, spending several thousand spots on retailer shelves. We expect the number of new placements to occur in mid-2021, continuing our sales momentum. This sales success was a result of our effective multipronged marketing efforts, including radio campaign, social media efforts and continued work with QVC. I'd like to touch on a few of these now. We continue to see success in our SiriusXM radio advertising campaign, having recently distributed an estimated 1,000 MamaMancini's nationwide commercial to celebrate the Centennial of Anima Sirius arrival to the U.S. on all major talk and news channels, reaching over 75 million consumers, an avenue which we have found in a cost-effective way to drive sales across various geographic locations with current and new customers of our products. On the social media side of things, we continue to maintain a robust reach, engaging new customers and encouraging repeat purchases. Today, we have over 500,000 likes across social media and continue to geo target likely consumers who live within 5-mile range of specific retail locations. As an example, we continue using this medium to successfully grow our new pasta pol products and public supermarkets in the Southeast. Our QVC efforts have been -- have seen record success as well, with Dan Mancini's live pitches driving impressive sales on their platform. We have recently increased our on-air presence notably and have seen encouraging growth as a result. As many of you are aware, QVC is the largest direct-to-consumer marketer and is available in over 100 million homes across the U.S. We doubled our QVC business in the last year, and our program for substantial growth this year again. Finally, before handing call over to Larry, I would like to note that to further supplement our incredible growth, we advanced a significant internal effort to explore potential acquisitions, focusing on companies with complementary products in the perimeter of the supermarket as well as exceptional operational and financial metrics. The ability to realize new distribution relationships and push in an existing product through our already robust distributor network all at attractive valuations as our chief goal. We will remain highly selective to ensure any target is accretive, reasonably valued and highly complementary to our core business. We look forward to additional announcements on this front as potential targets move through our due-diligence pipeline. In summary, we are pleased with our overall cash position, which has grown dramatically from last year. Our debt situation, which is virtually no external bank net at this moment, a very positive cash flow and our net income growth. When paired with our recent initial listing application with NASDAQ, I believe we are set for another milestone year. I look forward to continued execution in the year ahead. I'd now like to turn the call over to Larry Morgenstein, our Chief Financial Officer, to walk through some key financial details from the third quarter of 2021 -- fourth quarter -- sorry, fourth quarter 2021.
Larry Morgenstein : Thank you, Carl. Revenue for the fourth quarter of fiscal 2021 increased 1.4% to record $10 million compared to $9.9 million in the same year-ago quarter. Revenue for fiscal 2021 increased 20.8% to record $40.8 million as compared to $33.8 million in fiscal 2020. Revenue increased from the year was a results of the increased volume in club store accounts and spring and through new product introduction later in the year. Gross profit increase 15% to $3.3 million or 32.9% of total revenue in the fourth quarter of fiscal 2021 compared to $2.9 million or 29.0% of total revenue in the same year-ago quarter. Gross profit increased 27.6% to $12.7 million or 31.3% of total revenue in fiscal 2021, compared to $10 million or 29.6% of total revenue in fiscal 2020. The increase in gross profit in the fourth quarter is primarily due to a change in customer mix to higher margin accounts, including QVC. Operating expenses totaled $2.4 million in fourth quarter of fiscal 2021, compared to $2.2 million in the same year ago quarter. As a percentage of sales, operating expenses increased in the fourth quarter of 2021 to 23.8% from 22.4%. Operating expenses totaled $9.3 million in fiscal 2021, as compared to $7.9 million in fiscal 2020. As a percentage of sales, operating expenses decreased in fiscal 2021, at 22.7% of sales. Operating expenses in the fourth quarter increased mainly due to a high percentage of volume and higher-margin accounts with higher merchandising support in direct relation to these accounts. Net income for the fourth quarter of fiscal 2021 grew by a significant 311% to $1.7 million or $0.05 per diluted share as compared to a net income of 0.4% or $0.01 per share -- diluted per share in the same year ago quarter. Net income for fiscal 2021 grew 165% to a record $4.1 million or $0.12 a share per diluted share as compared to a net income of $1.5 million or $0.04 per share diluted in fiscal 2020. The increase in net income was attributed to increased sales, higher gross margin and lower interest expenses and a nonrecurring deferred tax benefit of $0.74 million. Cash and cash equivalents, as of January 31, 2021, was $3.2 million as compared to $0.4 million as of January 31, 2020. The increase back -- cash balance benefited from $3.7 million in cash flow from operations, proceeds from warrants redemptions and offset by a paydown of debt. We do not anticipate raising additional capital at this time and are confident that the cash on hand, combined with the cash generated from operations, each quarter will be sufficient to sustain operations as we grow. This completes my comments. I now turn over the call to Matt Brown, our President and Chief Operating Officer. Matt?
Matt Brown: Thanks, Larry. Fiscal 2020 can be summarized in one word, COVID. COVID-19 impacted our sales, our operations, our protocols and our morale. We watched this demand for our packaged and kit business rapidly increased, while our bulk hot bar business all disappeared. We watched this raw material prices skyrocketed and we took swift actions to offset these increases. We watched as employees nervously came to work each day not knowing what the future may hold. And if at any moment, they were going to be told not to come back to work. We scrambled to cover ourselves with financial aid in the form of the PPP only to return this 8 weeks later, so it could be used by a business in greater need as our plant kept running and the orders kept coming. And through it all, we came out stronger as an operation and as a team, as was evident by our SQF or Safe Quality Food Audit score of 97%, the highest score of the plant has achieved since we began these audits 10 years ago. As Carl and Larry have highlighted, we experienced record sales and record profits at the close of fiscal 2021. There were multiple factors that led to these results, I will highlight just a few. In fiscal Q1 2021, the plant brought Steve Burns on board as our Executive Vice President of Operations and Financial projects. Steve was tasked with finding opportunities for cost savings throughout the operation and immediately gravitated to our packaging room. With the pandemic picking up steam, we saw a business shift to more retail packaged and kit-assembled business over our existing bulk deli business. This shift required more time and cost devoted to packaging materials and labor to pack. By making a few key acquisitions of equipment and a change in corrugated suppliers, Steve and plant were able to achieve greater efficiency throughout the packaging process. Steve was also instrumental in growing our QVC business during the past fiscal year. The QVC account has always required a considerable amount of time management that was previously unavailable. With an additional hire, Steve was able to provide QVC with the much needed hands on approach to double the business over the fiscal year.  As mentioned, fiscal 2021 continued to see strong growth behind our kit and assembly business. As more supermarkets saw the benefits to bringing in packaged products and prepared food that required little to no preparation work our orders continue to increase in this arena. We added an additional 4 new kits to the line, including Lazona roll-ups, stuff shells, meat loaf, and plant-based meat balls with pasta. And we introduced a key new package sleeve item in the form of a family pack with meatballs and sauce. We also saw an increased market for a jumbo meatball 3-pound pack at club stores, which has now grown dramatically this year. This shift in business that net represented more than 70% of our overall business required us to rethink the use of labor in the plant. We saw an opportunity to minimize overtime by staggering the shifts and supplementing some unskilled labor on the kit lines which only required fill in pack operations. By elevating the roles of a few key supervisors, we were able to create a strong foundation with incentives that drove them to keep the labor cost down. This began to show payback at the end of fiscal Q4 2021 and has continued the new fiscal year. Finally, fiscal Q4 2021 was particularly strong for us in revenue and profit. As COVID began to settle down, bulk deli business began to open up, and we saw a resurgence in supermarket food service. At the same time, our newfound growth in the kit business continued to sustain itself in the combination of these 2 businesses backed by strong QVC sales helped generate over $10 million in revenue. The plant kept up pace with the increase in business, while at the same time, preparing for our annual food safety audit. The audit was quite different this year from previous audits with an emphasis on our ability to handle the pandemic in a safe and responsible way. We showed that we were early to take temperatures and implement social distancing protocols where possible. Staggering the employee shifts, as mentioned earlier, also helped minimize the exposure between employees and what would normally have been crowded spaces. The quality assurance team stepped up big here with an additional hire of 2 full-time sanitation employees whose responsibilities included sanitizing all workstations, entrances, exits and any other contact surfaces. Our final score of 97% was a suite reward to management and to the team for what had otherwise been a solid year for morale. Our early jump on safety measures resulted in minimal COVID-related absences and helped us weather the virus while continuing to produce at record levels and provide to the overall profitability at MamaMancini’s. I will now turn the call back to Carl for some final notes before wrapping the call up for Q&A. Carl?
Carl Wolf: Thank you, Matt and Larry. As I noted in my opening remarks, we continue to execute on all fronts and have laid the foundation for an incredible year. I am proud of the operational progress our team made for 2021, realizing strong year-over-year growth amidst the backdrop of COVID-19. While fiscal 2021 was a record year, there are still extremely attractive growth areas for the core business as we enter fiscal 2022. From major box retailer engagements with our branded family and jumbo pack meatballs as well as our pasta pol line to hot bar placements at leading groceries nationwide, our outlook on the near-term food market remains optimistic. When take an intending with the acquisition strategy as well as our recent application to up to the NASDAQ capital market, I believe that fiscal 2022 will mark another record year for the creation of sustainable long-term valuation for our shareholders. With that, I turn it over to the operator for questions.
Operator:
Q - Howard Halpern: Congratulations on navigating a very tough year.
Carl Wolf: Thank you.
Howard Halpern: What do you anticipate CapEx to be for this upcoming year? Are there going to be any significant changes to the plant or more tweaks to the plant?
Carl Wolf: In general, I would say more tweaks to the plant. However, if our volume grows very substantially as we hope, we may have to look for an expansion of facilities some time past this year.
Howard Halpern: Okay. And in terms of what you both guys are speaking about earlier, is there going to be – once -- at the bulk deli hot bars and such come back to the more normal levels, is there going to be any cannibalization from kits? Or are both going to start growing robustly throughout the year?
Carl Wolf: I don't think there will be substantial cannibalization. I think the consumer wants both, and they didn't have the variety in the kits that area as much. So I don't think -- I don't see any substantial cannibalization.
Howard Halpern: Okay. And based on the customer and sales mix, can we assume that gross margin should be able to maintain that 32% area that you achieved in the fourth quarter?
Carl Wolf: Right. We expect gross margin to slowly go up as our plant capacity is further utilized. So we are expecting a further increase in gross margin.
Howard Halpern: Okay. And in the very beginning, you talked about the food service area. What type of efforts are you making right now? And I know you don't have any -- you would announce if you had any type of deals, but what when would you expect, hopefully, to see your first significant revenue from your food service efforts?
Carl Wolf: Well, first of all, you really couldn't get anybody's attention a little bit starting in February. So everybody was either -- was operationally oriented, the ones who had a quick serve, handling that part of the business, mainly drive up business. And then the medium priced restaurants, et cetera, we're just dealing with lower volume. So now that they're first getting back to normal for seeing us. So it's several months away. We do have a number of appointments and contacts and I do think there will be probably around in third quarter, when we think we'll see some significant opportunities. You have to remember that food service includes convenience stores, colleges and -- these are all areas we're working on now very actively. Convenience stores, college and universities, which we're doing great. Independent delis, where we have put together a kiosk concept as well as hotels and institutions. All that is going on right now. They're each separate. That is in addition to what we commonly know as food services, restaurant chains.
Howard Halpern: Okay. And is the team that's involved in this? Or is it just a couple of people or one person to have.
Carl Wolf: We have a dedicated person handling it, and then we've got some help from some affiliates of our company, and we like to use agents who are sales -- commission salespeople, some of them are on retainer. So we have appointed a number of people in that to help us.
Howard Halpern: Okay. And one final question. What does the acquisition landscape look like? And what opportunities are you seeing or being brought to you that seem intriguing?
Carl Wolf: Well, there are a number of opportunities and a number of them haven't met our criteria, either that they're not making substantial income, or they can't be integrated well or their price is higher than we'd like to pay. We're looking for an acquisition that would be immediately accretive to the company. We do have candidates.
Howard Halpern: Okay. Well, keep up the good work, guys.
Carl Wolf: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Carl Wolf for any closing remarks.
Carl Wolf: Thank you, operator. As a final note, once COVID-19 subsides, we will continue to be active in attending top investor conferences and investor nondeal roadshows, marketing on both coasts of the U.S. In the meantime, we will continue our efforts on a virtual basis. If interested in schedule a meeting with management, when we are in your region, please reach out our IR firm, MZ Group, to arrange. I might mention that I'm giving a presentation tomorrow on the Planet Microcap seminar, and I am holding one-on-one meetings, which you can do by signing up. There's a press release on that. Anybody would like to do that. So on that, I want to thank everyone again, and we look forward to continuing to update you on our progress in the coming quarters. We also -- I should also mention that we'll be holding a virtual annual meeting. The date is June 24, and it will be at 12:00 noon. So we're moving ahead on that. Thank you again very much. And with that, that concludes our meeting.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.